Operator: Good afternoon. And welcome to Asure's Second Quarter 2021 Earnings Conference Call. Joining us for today's call are Asure's Chairman and CEO, Pat Goepel; john Pens and Vice President of HR, Cheryl Trbula. After the speakers’ remarks, there will be a question-and-answer session. I would now like to turn the call over to Cheryl for introductory remarks. Please go ahead.
Cheryl Trbula: Thank you, operator. Good afternoon, everyone. And thank you for joining us for Asure's second quarter 2021 earnings call. After the market closed, we released our financial results. The earnings release is available on the SEC's website and our Investor Relations website at investor.asuresoftware.com, where you can also find the investor presentation. This teleconference is also being broadcast over the Internet and will be archived and available on our IR website. During our call today, we will reference non-GAAP financial measures, which we believe to be useful to investors and exclude the impact of certain items. A description and timing of these items, along with a reconciliation of non-GAAP measures to their most comparable GAAP measures can be found in our earnings release. Today's call will also contain forward-looking statements that refer to future events and as such, involve some risks. We encourage you to review our filings with the SEC for additional information on factors that could cause actual results to differ materially from our current expectations. Finally, I would like to remind everyone that this call will be recorded, and it will be made available for replay via a link available on the Investor Relations section of our website. With that, I would now like to turn the call over to Pat Goepel, Chairman and CEO. Pat?
Pat Goepel: Thank you, Cheryl. And welcome, everyone, to Asure Software's second quarter earnings call. I will begin today's presentation with an update on our business performance and strategy, then will turn the call over to our CFO, John Pence, for a more detailed review of our financial results and outlook for the third quarter of 2021. We'll then conclude the session with time to answer your questions. In the second quarter, Asure delivered total revenues of $17.2 million and net income of $3.7 million. Our revenues grew 22% versus prior year, with recurring revenues rising by 17%. Importantly, our revenue growth was balanced and nearly equal contributions from organic growth and acquisition-related growth in line with our strategic aspirations. I'm pleased to reaffirm our long-term strategy to grow roughly 20% each year, made up of 10% organic and 10% inorganic is unchanged. A significant contributor to our inorganic growth in the quarter was the acquisition last July of Pacific - or excuse me, Payroll Tax Management in July. The new tax platform has improved operational efficiency for our payroll operations and accelerates our ability to integrate accretive acquisitions. It also expands our capabilities to new small business clients, resellers and large brands who have already expressed interest in using our tax engine to power their payroll and treasury departments, regardless of which payroll platform they use. The integration of a small Northeast based reseller acquired in December 2020 is now complete. This is important because it provides a positive proof point regarding our acquisition model. The model we developed enables us to acquire similar value-added resellers to integrate them quickly and then expand their revenues by more effectively delivering on our strength [ph] This model works and is highly accretive to customers, the business and our shareholders. We'll continue to be opportunistic in rolling up our reseller partners that white label our given capital management solutions. This is in line with our strategy where our partners are reselling our solutions and then joining the Asure family. Acquisitions of our resellers continues to be a part of the growth strategy, and we will continue to be active in the marketplace. We're also pleased to announce that we signed a commitment letter with Structural Capital Investments through third party LP and want to express our thanks to Wells Fargo for their partnership over the years. Shifting now to organic revenue growth, same-store sales, which roughly tracks national unemployment rates up 7% year-over-year for the second quarter of '21 and up 5% sequentially compared to the first quarter of 2021. This marks the first uptick since the start of COVID pandemic, both sequentially and year-over-year, pointing towards an improving environment for our clients and for Assure. We previously outlined to you our plan to significantly increase the number of direct sales representatives across the United States. We continue to be active in this area. At the end of the second quarter, we had 65 direct sales reps, up slightly from 64 at the end of the first quarter and up significantly from the 31 at the start of 2020. At year end 2021, we expect to be about 75 to 80 direct sales professionals. The investments in sales and marketing are paying off. Bookings were up 48% year-over-year 51% sequentially. We'll continue to invest in this area and expect even more productivity from existing sales reps as their tenure increases. The successes have been possible with our continuing focus on small business, which is where most of the sales efforts are. This is evident in our small business bookings which increased more than 133% year-over-year. As we previously discussed, these new sales are bundled solutions. As we've discussed in the past, the previous 16 months or so have been different from any other time that we've experienced before. We're encouraged by the early signs of the economy reopening, as our small business clients are largely back to business. Yet uncertainty obviously remains with COVID and its new variants. That said, we're opportunistic about tailwinds in our model as employment levels rise, clients and partners become more available for face-to-face meetings and the uncertainty that freezes buying decisions returns to normal. I continue to be very proud of how the Asure team embraced these challenges and took a leadership role through the pandemic. For example, as part of our efforts to support more than 80,000 small business clients navigate the complex COVID regulations, we introduced an employee retention tax credit solution to help them efficiently maximize this critical stimulus program. I couldn't be more prouder of our team as they helped our clients file for nearly $100 million in tax credits in the second quarter. These stimulus dollars can help our customers hire staff and grow their business. As an essential small business, Asure remains committed to helping more than 80,000 small business clients, navigate unprecedented compliant changes and grow in a very challenging environment. We're committed to ethical business practices, a values-based culture, innovation, social responsibility and leadership as well as our support for small businesses throughout the United States. Overall, we are pleased with our second quarter results. The business has returned to organic growth following the negative impacts of COVID and has allowed us to return our employees to their traditional compensation structure. Our acquisition model has delivered tangible positive results and created new areas of strength for Assure. We continue to be vigilant in managing expenses, while improving our scalability so that future revenues can be effective in driving higher levels of EBITDA and cash flow. Now I'd like to hand off to John to discuss our financial results in more detail. John?
John Pence: Thanks, Pat. As Cheryl mentioned at the beginning of this call, several financial figures discussed today are non-GAAP. You will find a description of our GAAP to non-GAAP reconciliations in the earnings release that was made available earlier today. And the reconciliations themselves are included in our most recent investor presentation posted in the Investor Relations section of our website at asuresoftware.com. Before I get into the details of our second quarter results, it's important to remind you that our first quarter results feature a seasonal lift related to recurring revenue generated by annual preparation of federal reporting regarding employee employer reporting regarding employee and full year [ph] reporting of W2 income and ACA compliance. This lift happens each year in the first quarter and has a significant impact on our quarter-over-quarter comparisons in Q2, but does not affect year-over-year comparisons. Now on to the results. When excluding year end fees from the first quarter to second quarter sequential revenue comparison, revenue was up 5.6% to $17.2 million. This first quarter where we had a post-COVID comparison for year-over-year results, when we look at that comparison on the top line, we were up a little over $3 million or nearly 22% from $14.1 million in the same quarter of the prior year. As Pat indicated, our revenue growth was well balanced with strong contributions both from organic and inorganic sources. Recurring revenue represented approximately 94% of our total revenue for the quarter. Interest on client funds was approximately $400,000 in the second quarter, flat from the first quarter and up from prior year of approximately $100,000. The average balance of funds held on half of our clients was approximately $203 million in the second quarter, down from approximately $234 million in the first quarter and up over prior year of $94 million. Non-GAAP EBITDA in the second quarter was $1.1 million. This compares favorably to the first quarter, which would have been approximately breakeven after taking effect for the year end fees recognized in the first quarter. And this is down approximately $300,000 from prior year's second quarter. This small decrease year-over-year was realized despite the increase in salaries as we absorb pay and benefit increases following the implementation of our temporary reductions related to COVID. Compensation represents approximately 70% of our cash expenditures. So these adjustments have a meaningful impact. Additionally, expense comparisons are also impacted due to expenses related to the transition service agreements from the sale of the base business at the end of 2019. And finally, as Pat mentioned in his remarks, comparisons are also affected by an increase in the number of sales representatives, as we invest in sales organization to drive higher revenues in future periods. While there were some headwinds in our second quarter expenses related to sales force expansion and payer restorations, we view these investments in our organization and people that will deliver future results and are key to building momentum in our business. Underlying those increases are significant efforts to increase scalability of our platforms and to improve our cost efficiency. We have a broad set of initiatives underway that will standardize our processes, simplify our internal and external interactions and enhance our self-service capabilities. As previously mentioned, we, in turn, to return full benefits for our employees in the second half of 2021, which would include bonuses and company matching of 401(k) contributions. We expect this range statement of these costs to be offset by some of these anticipated cost efficiencies, yielding a net neutral operating profitability contribution. Turning to the balance sheet. We ended the quarter with cash and cash equivalents of $20.3 million. On June 30, 2021, we also had $13 million of debt which comprised of $9 million term loan and the balance made up of seller notes from acquisitions. Since December 31, 2021, we have reduced our indebtedness to $13 million from $25 million. A large component of this reduction was forgiven us of $8.6 million of our PPP loan during the second quarter. On an income statement, you will see the extinguishment of the PPP loan created a gain of $8.7 million, and that contributed to our net income in the quarter of $3.8 million. This gain, however, is not reflected in the non-GAAP EBITDA I previously discussed. As Pat mentioned earlier, we are also pleased to announce the signing of a commitment later today with Structural Capital Investments for a $50 million term loan facility. Once closed, availability of the facility will be based on an advanced rate based on our pro forma annual recurring revenue. Besides maintaining this ratio, there are limited financial covenant compliance metrics. This new facility has a 4 year term and once closed, we believe, combined with our previously filed registration statements we possess the financial structuring flexibility to aggressively pursue our previously stated strategy regarding organic and inorganic growth. We anticipate that this facility will close before the end of the third quarter and are very excited about the potential of this new agreement and the opportunity to work with our new partners at Structural Capital Investments. It is our intention to use the proceeds to repay our existing $9.8 million facility and to deploy the balance of the proceeds for growth opportunities. As Pat indicated earlier, we have demonstrated our ability to make accretive acquisitions that are beneficial for both our customers and our shareholders. These acquisitions create new revenue opportunities by expanding our footprint and accelerating product sales opportunities. As we have consistently communicated, we plan to pursue acquisition opportunities, and this new facility lays the groundwork to accomplish our strategic goals. Now I'm going to turn to guidance for the third quarter ending September 30, 2021. This guidance is offered with the backdrop of continuing challenging environment to predict the future economic results given the ebbs and flows of employment trends and COVID. We are providing the following guidance. Revenue for the third quarter of 2021 is expected to be in the range of between $17 million to $17.5 million. Non-GAAP EBITDA is guided to be in the range of $800,000 to $1 million. And non-GAAP EPS is guided to be between $0.03 negative and negative $0.01. While the economy and labor markets continue to be volatile, we focus on the levers of the business that we can reasonably control. We expect to accelerate our acquisition program for resellers of our software solutions. At the same time, we are also continuing to drive significant process efficiencies throughout the organization to build scale and enhance operating leverage, which should benefit our results in future periods. With that, I will turn the call back over to Pat for some final remarks.
Pat Goepel: Thanks, John. In summary, our second quarter results, I think, are very encouraging. We have developed some early momentum in terms of revenues and are starting to turn a corner. We've also substantially improved our balance sheet. And once we have closed our new term loan agreement, we believe we will have provided a foundation and have flexibility with - to drive future value creation. The second quarter results also show the positive impact on our financials of recent acquisitions that provide us and our clients with enhanced solutions and capabilities. We continue to further integrate our payroll, HR, time and attendance and tax products for an improved user experience, while also streamlining the back-end hosting and system architecture to simplify support and reduce cost of goods sold. We're also streamlining and improving our internal and external processes in order to build scalability and to make it easier to do business with Asure. These include substantial standardization and simplification efforts, as well as enhanced digital and self service capabilities. And over the past year or so, we focused on significantly improving the quality of our Board and key executives. In that regard, I am pleased to announce that we've created the new role of Chief Technology Officer. We're excited to appoint Yasmine Rodriguez to this role. Yasmine brings over 20 years of experience in building world class human capital management technology solutions and she lead our IT infrastructure, process automation and technology road map, driving innovation to better serve our clients. Congratulations, Yasmine. So that concludes our remarks. And with that, I'll turn over the call over to the operator for the Q&A session. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Joshua Reilly from Needham. Your line is now open.
Joshua Reilly: Hey, guys. Congrats on the quarter and thanks for taking my questions here. So if you look at the significant improvement in bookings during the quarter here, how would you attribute the results to the improving macro versus sales execution? And then second, how do you think about the opportunity for rep productivity improvement for the rest of the year versus where it's at today? And maybe how did it trend in the quarter? Thanks.
Pat Goepel: Yes. I think, Josh, thank you for the questions on sales. What - I think a couple of things. One, I'll remind people that our average tenure of our sales force right now is about 10 months. So I think the best days are here to come for quite some time. I do think the macro environment is improving, but I also think we're improving almost on a daily basis. So very pleased with the progress. I think the focus is there. I do think you'll see growth at this level or potentially more throughout the year. And I really think we're set up for 2022 and beyond as well. So I'm really encouraged by the productivity and the progress that our salespeople are making.
Joshua Reilly: Okay. Great. And then maybe just one follow-up. The same-store sales improved nicely in the quarter. What are you seeing in terms of outlook here in August so far, I guess it's early, but in July. But what do you think about the improvement here for the rest of the year on that? Thanks.
Pat Goepel: We're not modeling a ton of improvement. We see, I think, frankly, a lot of fits and starts. And then I think we're all hopeful that maybe coming in the August, September time frame where maybe some of the unemployment programs potentially in that there might be some hiring and more hiring improvement down the line. So we haven't modeled a ton into it. I think we're taking a cautious approach to that in our models going forward in our guidance. John, I don't know if you have anything to add.
John Pence: I mean I think, obviously, we considered it when we came up with the guidance that we just gave you. So 17% to 17.5% reflects kind of our view, and it's tempered because we just really are still, as Pat pointed out, seeing fits and starts.
Joshua Reilly: Great. I’ll pass to queue. Thanks, guys.
Pat Goepel: Thanks, Josh.
Operator: Thank you. And our next question comes from Eric Martinuzzi from Lake Street. Your line is now open.
Eric Martinuzzi: Hi, congrats, as well on the quarter. I had a question regarding your pipeline for the back half of the year. I know we're coming up on kind of evaluate the current platform season or evaluate alternatives for those prospects who might be willing to entertain switching over to Asure. I'm wondering if you could just kind of have amnesia on last year and take us back to 2019, is pipeline behavior similar to two years ago as far as lead gen? Because I know people kind of got to be in market here over the next two, three months to make that year end switch.
Pat Goepel: No, Eric, I think a couple of things. One, what I would say, if I think about 2 years ago and last year, and I'll kind of normalize for COVID last year. I think our pipeline was pretty strong in the small business area. I think this year, we have some emerging pipeline in the mid-market that I think, frankly, is quite a bit of improvement over last year. If you think about our acquisition of PTM, we have some tax filing pipeline that really interest us. And I think to move the business forward. Small business pipeline is strong. And then from the reseller opportunities, I think there's some couple unique opportunities there. So I would say it's compared to 2 years ago, I think it's broader base compared to the last year, normalized, again, I think we're excited about a number of products and services. And it's not just small business growing, but I think the pipeline in some of the other areas, whether it's mid-market tax and some of the other product lines, we're excited about. Now we're in that summer season, and we're really pointing to the third quarter and fourth quarter here and primarily the fourth quarter. But I would say, we're cautiously optimistic.
Eric Martinuzzi: Okay. I want to follow up on the reseller opportunities. Obviously, you're lining up a credit facility here. M&A for Assure is a little bit different than M&A for a lot of tech companies in that you're probably already working with these people. And in many cases, they're founder owned types of businesses. So as soon as we get the green light on the credit facility, could we expect to see some kind of a surge in the inorganic side?
Pat Goepel: Yes. I mean I think we're not opening a credit facility for our health, right? We're interested in putting it to use. I would say if you think about some of the tax changes that have been floated and talked about, I think there's some opportunities. I'm less concerned about timing. I'm more concerned about lining it up to our strategic vision and execution of the business, but I would anticipate we'll be active.
Operator: Thank you. And our next question comes from Richard Baldry from ROTH Capital. Your line is now open.
Richard Baldry: Thanks. Could you talk about challenges in hiring sales in a still semi-quarantine environment, I guess. Finding the right people, vetting them, on-boarding them, sort of building up without the ability to sort of be in person, which it would have been prior?
Pat Goepel: Yes. No, Rich, I think it's a thoughtful question. I mean, first of all, I think coming out of COVID, so people want to make a change. And so I think there's some pent-up demand, which gives us opportunity. I think because of our leadership team having been in the marketplace for a number of years, sometimes too many. We can place 6 degrees to almost every candidate very, very quickly. So we know who's good. And it's almost like if you're thinking about the basketball recruiting awards and you have your 5-star athletes, 4-star, 3-star athlete. A lot of people are jumping into transfer portal. We want to take advantage of that. Certainly, we have to be judicious around the digital media and the interviews, why they're making a change. But if I step back, we have a number of different products and technology and open territories that are bigger in our competition, people have the opportunity to really make a lot of money, and they're interested in pursuing options at this point in time. So I think the recruiting environment has some challenges from face to face, but it also actually has some opportunities that are like no other that I've seen over the last couple of years.
Richard Baldry: And maybe looking into the same-store sales a little bit, a sub-5% sequential. I think last quarter, you said that their - the pays per control was down about 13% year-over-year. So do you feel like that, that same-store sales has a lot of room to keep moving over the second half obviously, there's some uncertainties around Delta, but maybe think about the linearity of that 5% to really come on late in the quarter and it feels like it's still ramping? Or was it sort of consistent throughout that.
John Pence: Again, let me take a shot at this one, and Pat can fill in some of the gaps. Again, I have the luxury or disadvantaged wherever you want to look at it, not having the history. But when I look at it, I look at the overall average client size of where the company sat prior to COVID to where it's at now, and it's still down. So from my perspective, there's a decent amount of room to go once that hiring comes back on a per kind of customer basis. Now how quickly that comes back in core models changed, I don't know. But I can just tell you, there's still a definite impact pre and post-COVID in terms of the overall employee sitting at our customers.
Pat Goepel: Yes. And Rich, just to echo what John says, I agree with everything he said. I do think there's opportunity for those employment to come back. I think we're a little bit cautious on getting ahead of it or modeling it. We'd rather let's see it, and let's see it take place.
Richard Baldry: Then without talking about specific targets, I'm curious about the M&A backdrop in terms of willingness to sell because your targets had also be coming off a tough year. Whether that puts any pause in their minds to try to get operations back fully smoothed out before they would look at selling the business as a whole? Or just any sort of color on that environment? Thanks.
Pat Goepel: Yes, Rich, that's a great question. And I don't think there's 1 quick answer. Some of you, there's an opportunity to sell the business to take advantage of some tax savings this year versus perhaps the taxes increasing next year. Some want to get credit for COVID, normalized COVID headcount. So I would say, boy, this - I'm not quite in the financial position I was 2 years ago. It will take me a while to get back. Maybe there's an opportunity to sell. Some would say, hey, I want to double down and grow and use this as a way to get lean and mean and then have an opportunity to grow. So I don't think there's a one size fits all. I do think there's an opportunity to grow, and I think we've been active in some discussions. And one of the decisions that we made really 9 months ago or so when we brought on kind of a new executive team, coupled with some people that we really trust as a part of the executive team was really to build a business to scale kind of test out the new models of some of the acquisitions, expand in the area of automation and tax. And now it's time to leverage that. So I think the marketplace is right for us to do it. I think they're ready for us, and I think we're ready for them, and we're excited about this next evolution of the journey.
Richard Baldry: Great, thanks. Congrats on the quarter.
Pat Goepel: Thank you.
Operator: And thank you. And our next question comes from Jeff Van Rhee from Craig Hallum. Your line is now open.
Jeff Van Rhee: Great. A couple for me. On the bookings front, just talk about what you saw in there that might have been different in the mix of new and existing. And then along those lines, how have your competitive win rates varied over the last two, three quarters, sort of through the overall macro headwinds that everybody is facing. How are you faring versus your typical competitors?
Pat Goepel: Yes. Jeff, I would just say, I think the - I think the competitive win rate hasn't changed much. I think we have an opportunity, and we're very competitive and we win. I think there's turbulence sometimes is there a process that a slowdown based on COVID, is there other business concerns. So sometimes the drivers within it are turbulent. But as far as the competitive win rate, I think we're in pretty good shape. I would point out the ERTC funds I think as a company, I think we've done that program really well. We've helped companies get access to the money. And I think we're kind of nimble enough to help them in a better way than some of our competitors. And I think that's led to some loyalty and sales that will benefit us not only this year but in future years, so I'm excited about that. But that's how I see the marketplace. And then I'd point out that - and we haven't said in the investor deck, the tenure of our sales reps and the productivity and our average tenure being 10 months. I think over the next couple of years, you're going to see the experience of some of the salespeople going through this environment, and I think they're going to be very productive in the next couple of years.
Jeff Van Rhee: You put in a new CTO, what is it, at this point, you're most focused on delivering on the product side that you might not have done in the past?
Pat Goepel: Yes, Yasmine Rodriguez came to us in December, and she's run some of the tax business and the systems around that. We have a common tax filing platform within the company, and then we can market on a standalone basis. When I think of COVID, we probably had more tax changes in 16 months that we've had in 16 years. And Yasmine has really handled that well. But for me, it's a number of things. So if you think about, first of all, the operational efficiency and as we have integrated resellers, the automation of the processes around bots and stuff like that. They made a big impact, and they're going to have a big impact going forward. The standardization of processes and using technology will do that. The acceleration of some of the product efficiencies and the integration opportunities. So I don't think it's anything completely new, but I think it's an enhancement and speed of a total solution, and we think we can make some pretty big improvement. And then finally, I think in the area of money movement and treasury management systems. I do think there'll be a continued acceleration focus in that area.
Jeff Van Rhee: Got it. Thank you.
Pat Goepel: Thanks, Jeff. Operator And thank you. [Operator Instructions] And our next question comes from Vincent Colicchio from Barrington Research. Your line is now open.
Vincent Colicchio: Yes. Good afternoon, Pat. Nice quarter.
Pat Goepel: Thank you.
Vincent Colicchio: I'm curious, are you seeing - given the tight labor market, wage inflation pressures, how should we think about that?
Pat Goepel: Somebody told me one time that when they talk to a CEO, they never say they're overvalued, right? So I do think from an employment perspective, I think competition for good employees and the employees are getting clear about how they want to work, where they want to work, kind of the stress of COVID, the stress of coming out of COVID, maybe rethought their families, I think people are open - more open to different possibilities than they were pre-COVID. So I think what that has done is, is create a talent match that perhaps is greater than the last 5 or 6 years. So that's the backdrop. I would say I think people are also open and tools available to us to do business differently. Maybe it's a robotic automation as opposed to green shades and looking at stuff are available to us. So I think we can make our roles very attractive, very satisfying. They can do something with us that they can really leave footprints into sand for their future. So I think we have a competitive value proposition. In certain areas, I do think there's a war for talent and whether it's wage inflation or value proposition, people are looking for that. But I also think there's ways that whether it's flexibility, whether it's different work schedules whether it's some kind of a hybrid offering, there will be opportunity to choose. Some of them will be money motivated, inflation-oriented. Some will be flexibility oriented. Some will be schedule oriented. And some will be, hey, give me a - if you can eliminate the drag of something that some mundane. And you can - I can really focus on learning something. That's an opportunity that folks want as well. So there's not a one size fits all, but I do think there's opportunities for job improvement and attracting people. And I think there's a marketplace like no other that I've seen in the last 5 years.
Vincent Colicchio: Did you continue to add organic resellers in the quarter?
Pat Goepel: We had some small reseller improvement and a couple of over time, be really nice deals for us. So we're starting to open up in that area quite a bit. I think COVID froze some folks for a while. But what I would say is people are out making decisions and kicking the tires. And more important than that, I think they'll be ready to buy here. So we're excited about some of the prospects we have.
Vincent Colicchio: And are you seeing improvement in cross-selling activity?
Pat Goepel: Yes. I think it's interesting. Cross-selling now has almost become a bundle. And so people are buying more collective products right at the point of sale and collective solutions. So we're seeing that really improving. It's almost becoming the standard. And then I do believe that you will see further or more cross-selling. And what's, I think, brought this to the table as well as some of the ERTC or their retention tax credit that when they're able to get access to money, they want to buy more. So that's been a catalyst for us.
Vincent Colicchio: Thanks for answering my questions.
Pat Goepel: Thanks, Vince.
Operator: Thank you. And now I'm showing no further questions. I would now like to turn the call back over to Pat Goepel for closing remarks.
Pat Goepel: Well, thank you, I sure appreciate all of you. We've been on this journey while, I think COVID was a crazy trip here for 15 months or what have you. I think we've managed through it in a logical way. I think we're making some progress. Hopefully, you feel that way, too. I think we're setting this business up for a pretty exciting next couple of years. I think we have the right people, I think we have the right initiatives, and I think we have the right market opportunity to make a difference. For those of you that have been around a long time, are you just getting acquainted with the story, I'll tell you why. I think we're going to do some special things, and I appreciate all of you. Until next quarter, have a great day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.